Operator: Good morning. My name is Ludi and I will be your conference operator today. At this time, I would like to welcome everyone to the MEG Energy's 2024 Q4 and full year results conference call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Mrs. Darlene Gates, President and CEO. You may begin.
Darlene Gates : Thank you, Ludi. Good morning, everyone, and thank you for joining us to discuss MEG Energy's year-end 2024 financial and operating results. With me on this call this morning are Ryan Kubik, our Chief Financial Officer; Lyle Yuzdepski, our SVP of Legal and Corporate Development, and Erik Alson, our SVP of Marketing. I'd like to remind our listeners that this call contains forward-looking information. Please refer to the advisories in our disclosure documents filed on SEDAR+ and on our website for more of these disclaimers. For full details on our year-end results, please refer to yesterday's press release. 2024 was a significant year for MEG. We proudly celebrated our 25th anniversary and our continued maturation as a leading pure-play thermal oil producer. We are focused on delivering increasing free cash flow per share and sustainable shareholder returns. Thanks to our team's unwavering focus on safety, operational excellence, and disciplined capital allocation, we were able to improve our safety performance, achieve record production, hit our net debt target, institute a quarterly dividend, and sanction our facility expansion project. I now want to touch on some key points that speak to our strong financial and operational performance. In 2024, we generated approximately $1.4 billion in adjusted funds flow and $837 million of free cash flow. This strong cash generation enabled us to fulfill several key commitments to our shareholders, including balance sheet strength. We reached our U.S. $600 million net debt target following through on a focused multi-year deleveraging strategy that began in 2018. Return of capital: We instituted a sustainable quarterly-based dividend of $0.10 per share and repurchased and canceled 17 million shares. Over the last three years, we have returned over $1.3 billion to shareholders through share repurchases and dividends. Production growth: We achieved our fourth straight year of record production at just over 102,000 barrels per day, delivered at a steam-to-oil ratio of 2.39, reflecting strong operational efficiency from our Christina Lake asset. Improved bitumen realizations: We benefited from our strategy of maximizing access to tidewater to reach new international customers and improve realized bitumen prices. Heavy oil fundamentals significantly improved through 2024 as the TMX pipeline provided unconstrained egress from the basin. WTI to AWB differentials narrowed to approximately $16 per barrel in 2024, a $5 improvement over 2023. In the fourth quarter specifically, the WTI to WCF discount tightened to $12.56 per barrel from $21.89 in the fourth quarter of 2023. This represented a 43% improvement. These tighter heavy oil differentials and reduced volatility demonstrate the importance of delivering Canada's energy to global markets, and its fundamental benefit to Canadian heavy oil pricing. It also highlights why continued discussion surrounding diverse market access for Canadian oil and gas remains important. Now, I'd like to turn the call over to Ryan for a discussion of our financial performance.
Ryan Kubik : Thanks, Darlene. MEG generated about $1.4 billion of adjusted funds flow for the year. Continued focus on cost management again yielded excellent results. 2024 operating expenses net of power revenue were top quartile at $6.32 per barrel, including non-energy operating costs of $5.39 per barrel. Capital investment for the year was $548 million, which included the start of our multiyear production growth strategy. After capital expenditures, MEG generated $837 million of free cash flow, enabling us to repay our remaining 2027 notes and repurchase 17 million MEG shares, or about 6% of our 2023 year-end outstanding shares. In total, including $27 million of dividends, we returned $481 million to shareholders in 2024, up from $446 million in 2023. Our share repurchase strategy has also enhanced our per share metrics, delivering a 5% increase in adjusted funds flow per share. In 2025, we expect to deliver strong results. Production guidance is between 95,000 to 105,000 barrels per day, including the approximate 8,000 barrel per day impact of our second quarter turnaround. Non-energy operating costs are expected to remain highly competitive at between $5.30 to $5.80 per barrel. And capital expenditures are estimated at $635 million, including $130 million associated with our facility expansion project and $70 million for the turnaround. With low leverage and no debt maturities until 2029, we continue our commitment to shareholder returns. And MEG's Board of Directors has declared our next quarterly dividend of $0.10 per share for payment on April 15, 2025. With that, I'm going to turn the call back to Darlene for closing comments.
Darlene Gates : Thanks, Ryan. Before I close my remarks, I want to provide perspective on our positioning amid the current market dynamics. We continue to work collaboratively with industry and government to emphasize the importance of integrated North American energy markets and growing Canada's access to global markets. Looking ahead, our value proposition remains compelling and differentiated for MEG. In 2025, at a U.S. $70 WTI, we estimate generating $1.25 billion in adjusted funds flow with $615 million available for shareholder returns. That's enough to repurchase approximately 7% of our outstanding shares. We have positioned MEG to thrive through various market cycles with our high-quality resource base, operational excellence, low breakeven, and strong balance sheet. This foundation supports our commitment to long-term shareholder returns, while providing the resilience to navigate changing market conditions. We remain confident in our strategic direction and are excited about MEG's future. In closing, I want to recognize everyone on the MEG team for their hard work in delivering on our commitments in 2024. On behalf of MEG's Board of Directors and our Management Team, I want to thank our shareholders for your continued support. With that, I'll turn the call back over to Ludi, and we can begin the Q&A.
Operator: Thank you. [Operator Instructions] And with that, our first question comes from the line of Greg Pardy with RBC Capital Markets. Please go ahead.
Greg Pardy : Yeah, thanks. Good morning. Thanks for the rundown, Darlene and Ryan. A couple of quick ones for me. There's just on the facility expansion, we're seeing $470 million, so up $30. Is that FX or feed or what have you that's getting lumped in there to adjust that? And then can you just really remind us of timelines for the expansion, please?
Darlene Gates: Sure, Greg. I'll jump in there. The total cost of the project is $470 million. What you are probably recognizing is the number in the business update that we provided at year end was a go-forward number of $440 million. So when you combine that with the $30 million we spent in 2024, that makes the $470 million, so just simple math there.
Greg Pardy : Okay.
Darlene Gates: Okay, so does that help? Okay. And then timelines for the project. Probably what we've got listed out, Steam Boiler Foundation begins and Longleaf purchases in the first quarter of 2025. In the second quarter we're looking at advanced engineering model reviews, right. So that's taking you from the 60% to 90% model reviews and major facility tie-ins during the second quarter turnaround. And as you look ahead in the first half of ‘26, you'll start getting the steam modules arriving in assembly and steam in service by year end ‘26. As you move into 2027, that's when the expansion part of the project, the processing part, comes into the facility expansion.
Greg Pardy: Okay, that's great. Thanks for that. And then maybe just to pivot, you referenced just diversification and where the barrels are going. I'm really curious as to what you are seeing on the dock with TNX in terms of appetite for AWS. And then also just curious whether the pricing conditions you are seeing globally right now would actually justify taking on some spot capacity, whether that would be you or somebody else. I'm just curious whether the math would work at this point?
Erik Alson: Thanks for that, Greg. It's Eric. As we look at operations on TMX, we're pleased with how that's been operating. We continue to see smooth operations with no issues during the winter, which has been a positive. In terms of the demand for AWB, we continue to see strong global demand for heavy crude. With TMX, we've had the opportunity to get AWB into more international customers, and their early processing experience with our crude has been great. So we continue to see that strong demand. In terms of the economics around the barrels moving off of TMX, it does change monthly depending on the local demand issues in Asia, what's happening with margins, turnaround conditions, etc. I think where you are likely to see spot shipments moving would be more around the time when if tariffs come into effect. That's when you'd see the extra incentive to move a significant amount of spot capacity. For now, it's largely the contracted volumes that are moving.
Greg Pardy: Okay. Terrific! Thanks, Eric. Thanks.
Erik Alson: You're welcome.
Operator: And your next question comes from the line of John Royall with JP Morgan. Please go ahead.
John Royall : Hi. Good morning. Thanks for taking my question. So my first question is on SOR. I know you talked about the SOR for your new well pads coming in quite low, but just looking at the overall, it ticked up a bit in ‘24 relative to ‘23. Can you talk about the drivers there and any puts and takes we should think about for 2025 on SOR?
Darlene Gates: Yeah, I'll jump in. Thanks, John. Steam-to-oil ratio for 2024, very consistent with what we've been sharing, more about the timing, steaming the new pads, and you don't get the production back right away. So that drives your steam-to-oil ratio. As you move into 2025, you'll see that starting to come down. And part of what the better resource that we've been talking about in the business update as we look to the southeast and to the northwest, that better resource, higher oil saturation will start to drive the steam-to-oil ratio in a downward trend as well. So again, it's really resource-driven. That strong resource asset that we have will drive the improvements in the steam-to-oil ratio as we look ahead.
John Royall : Okay, that's helpful. Thank you. And then my follow-up is on Pathways. Can you just give us the latest on where the industry is in terms of working with the government to find a framework that works for everybody? And how far do you think we are off from that kind of framework at this point?
Darlene Gates:  I'll jump in again on this one. Pathways, you know I always bring everybody back. Pathways is about driving cost and carbon competitiveness, that's really where the conversations are focused on. The Alliance continues to advance the foundational carbon capture and storage project. So, we're looking to transport CO2 on the pipeline through multiple oil sands facilities from sequestration, and then we inject it into the Cold Lake region. Those conversations continue in both federal and provincial, and those dialogues continue. It really comes down to the progress of that, is around driving that cost competitiveness. It's getting that to the next steps, and so that's where the conversations and the focus continues. There's meetings happening as we speak right now. You know, that is the focus of the team, and we're still pushing quite hard to be honest. And again, it comes back to making the oil sands cost and carbon competitive. The fundamentals don't change, and politics don't change. It's really what is happening. We're just needing to drive those two components in order to progress this. So that's really where we're still focused.
John Royall : Thank you.
Operator: And your next question comes from the line of Menno Hulshof with TD Securities. Please go ahead.
Menno Hulshof : Good morning, everyone, and thanks for taking my question. My first one is a follow-up to Greg's on, and I'm just going to drill down a little bit here, just on U.S. Gulf Coast access, and more specifically your export capability. How much was exported off the Gulf Coast in the quarter? And if tariffs were to take effect on Tuesday, is there a scenario where the exports, your exports, your Gulf Coast exports would be exempt? Thank you.
Erik Alson : Thanks, Menno Hulshof. This is Erik. I appreciate the question. Looking back at the quarter, our exports from the Gulf Coast were in the 10% to 20% range. As we look ahead to the potential possibility for tariffs, certainly our diverse market access strategy, the assets that we have in the Gulf Coast position us well to be able to ramp up those exports very quickly. So, with the tankage and the dock space we have, we definitely have the ability to move more barrels. And so depending on the details behind the executive order, based on what we've seen to date, we believe that more than half of our sales could be non-tariffed.
Menno Hulshof : Terrific. Thanks, Erik. I appreciate that. And then the second question is on hedging. So, the heavy differential, it's tighter than a lot of people were expecting in that $13 range last I checked. Are you seeing any opportunities to hedge that out? And I understand the balance sheet doesn't need it and that your growth is comfortably funded through free cash. But is there any temptation given the tariffs overhang?
Ryan Kubik : Hey Manno, it's Ryan. I'll take that one. You know, you hit on it. We control risk today with our strong balance sheet, and we have the capability to kind of weather that volatility. When you think about hedging tariffs, you hit it. We would look at hedging the WCS differential. That market is very illiquid, and you're limited in what you can actually put in place and how long the duration of those hedges and it kind of limits what you can actually hedge. So, there's not a lot of appetite to get out there and put a position on because it's just not that meaningful. And when you consider the impact of tariffs, we actually think it may be relatively muted. We do expect that you would see a widening in the differential at a 10% tariff. You might see a $2 to $4 per barrel widening in the WCS diff. But we're also seeing a weakening in the Canadian dollar at the same time that's going to offset that. So, from a high-level perspective, it does reduce the free cash flow. But the impacts are relatively low, and you're unlikely to see us get out there and hedge the WCS diff.
Menno Hulshof : Okay. Thanks, Ryan. I'll turn it back.
Operator: Thank you. And your next question comes from the line of Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta : Yeah, thank you. One micro, one macro. The micro is, we're going into a turnaround, I believe in the second quarter, Darlene. I'm just curious on what you want to accomplish during that maintenance and how do you ensure that you get through that as effectively as possible?
Darlene Gates: Yeah, good morning. The turnaround, our big picture team is all over this, highly organized, energized for this turnaround. They are in the final preparation phase, right, so the scope is fully defined and integrated, enabling that detailed scheduling and resource. The planning remains in line with the budget, so no concerns there, and it really comes back to the team is doing, the general maintenance for turnaround. And it's primarily focused on, the 10-year frequencies, regulatory frequencies, and the tie-ins for the project, right. Those will be the kind of major turnaround components. Other than that, it's just your normal turnaround activity that you have at this time of year.
Neil Mehta : All right. Thank you. The macro, just a follow-up is you guys said that about half of your barrels could probably be exempt from the impact of tariffs, in part because of the way you market through the Gulf Coast. Can you just unpack that a little bit and help us understand all the ways that you can work around some of these impacts to the extent they go into effect next Tuesday?
Erik Alson : Thanks, Neil. It's Erik. Thinking about that 50%, the drivers behind that are, again, the diverse market access that we have, so the ability to move barrels through TMX, through the Gulf Coast, very significant volumes potentially through the Gulf Coast, and a component around the potential treatment of how our imported U.S. source condensate is handled from a tariff perspective.
Neil Mehta : All right. Thanks, Erik.
Erik Alson : You're welcome.
Operator: [Operator Instructions] Your next question comes from the line of Dennis Fong with CIBC. Please go ahead.
Dennis Fong : Hi, good morning, and thanks for taking my questions. The first one is just around the U.S. $600 million net debt floor. Obviously, we've seen a lot of volatility, and you've even discussed a little bit of the potential impacts of tariffs in a potential weakening Canadian dollar. Can you just remind us as to, obviously, the guardrails, the methodology behind the U.S. $600 million net debt floor, and if that maybe gets adjusted if FX materially or CAD materially weakens in the near term?
Ryan Kubik: Thanks, Dennis. You know, the net debt floor, the strategy, net debt will move up and down just depending on our cash requirements and working capital. You can think of us maintaining U.S. $600 million of total debt. That's our only bond outstanding at this point in time, and we're not necessarily managing at this point in time to U.S. $600 million net debt. So we did have a little bit of cash sitting in the bank at the end of the year. That was working capital requirements. We had to pay our $27 million dividend right at the end of the year. We had a debt payment that was due early in the year. We had share buyback tax that was due early in the year. So we probably held back a little bit more cash than we typically would do in order to pay those bills. So when you think about net debt, it's just going to rise and fall as our cash rises and falls and the strategy is still the same. When we think about share buybacks, we will look at what cash is in the bank at the end of the period, hold back what we need to make payments and run the business, and then use the rest to buy back shares. So net debt will just fluctuate naturally over time.
Dennis Fong : Great. I appreciate that context. Secondarily, can you talk towards a little bit around either procurement, supply chain management, and kind of procedures or bits of execution that you've put into place that help you really drive or provide confidence around the execution of the facility expansion project and the actual development of it, obviously understanding that you do have several pieces of equipment already on site?
Darlene Gates: Thanks, Dennis. Good morning. The project itself, I know there's a lot of conversations around project execution with everything going around in the macro. We see low project cost and execution risk right now with the tariff, the U.S. tariff. We have minimal exposure to the U.S. and the procurement in this project. A large portion of the fabrication is completed in Canada, here locally in Alberta, and we're using existing working with a number of Canadian suppliers. So that helps us communicate why the risk is lower for us. The project, the complexity of the project is also very integrated into our existing Christina Lake facility, and what that means is it's utilizing similar equipment and processes and capabilities that we've already got. We mentioned we've been spending 25 years running this facility. Our team's got a lot of expertise and experience. The front-end engineering design phase has been complete, right, and so you understand your scope and your parameters, and you are really just moving into that detailed engineering, and that's progressing very well. The project with its lower complexity helps us bring that expertise together, and the fact that we own many of our major vessels and once through steam generator, when you put that all together, we're on track to order any of the remaining equipment in the first half of this year. So the team's really bringing in the engineering, the design, the execution components. A lot of it's done local. A lot of it, any of the long leads that are left, are really the team's got line of sight to that. They've got the contracts in place, and really now it's just the execution of that over the next six months to 12 months.
Dennis Fong : Great. I really appreciate those incremental details there, Darlene. I'll turn it back.
Operator: Thank you. And I'm showing no further questions at this time. I would like to turn it back to Mrs. Darlene Gates for closing remarks.
Darlene Gates : Thank you, Ludi, and thank you to everybody who joined us this morning for our year-end results conference call. If you have any additional questions, please contact Investor Relations. We look forward to speaking to you again on our first quarter call.
Operator: Thank you. And ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.